Operator: Good morning. My name is Stephanie, and I will be your conference operator today. At this time, I would like to welcome everyone to the GrafTech Fourth Quarter and Year End 2011 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator instructions) Thank you. I would now like to turn the conference over to your host, Anita Fontana. Ma’am, you may begin.
Anita Fontana: Thank you, Stephanie. Good morning and welcome to GrafTech International’s Fourth Quarter and Year End 2011 Conference Call. On the call today is GrafTech’s Chief Executive Officer, Craig Shular and our Chief Financial Officer, Lindon Roberton. We issued our earnings release this morning. If you did not receive a copy, please contact Marie Nor at 216-676-2160 and she will be happy to fax or email a copy to you. As a reminder, some of the matters discussed during this call may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Please note the cautionary language about our forward-looking statements contained in our press release. That same language applies to this call. Also to the extent that we discuss any non-GAAP financial measures, you will find reconciliations in our press release, which are posted on our website at www.graftech.com in the Investor Relations section. In particular, on this call, we will be discussing the non-GAAP financial items of adjusted EBITDA, operating income, net income and EPS that exclude the non-cash impacts of pension related charges and the release of that tax valuation allowance, both which have been accounted for in the fourth quarter of 2010 and 2011. Any year-to-year growth comparison reflects the same adjustment. Further information on the methods we use to account for these items can be found in our SEC filings. For your reference, a reply of the call is available on our website. At this time, I would like to turn it over to Craig.
Craig Shular: Thank you. Anita. Good morning everyone and thank you for joining GrafTech’s call. Today, we will take you to our full year and our fourth quarter highlights and then open it up to questions. Recapping our full year results for 2011, sales increased 31% to 1.3 billion and our EBITDA was $269 million, up 30%. 2011 EBITDA was our second best in the company’s history. Operating income improved to $188 million, while net income was $141 million, or $0.96 per share. Net debt at year end was $419 million, the increase year-over-year was primarily attributed to an increase in working capital needs to support the 31% increase in sales and the $2 million share buyback we concluded in Q4. In October, we successfully completed a $570 million five-year refinancing of our revolving credit facility. This represents as $310 million increase over the prior facility. We secured better terms and conditions and the credit was rated investment grade by Moody’s. This new facility will provide us excellent liquidity as we continue to grow our company and we’ll keep us well positioned in the volatile and still recovering global economy. In 2011, we completed two acquisitions, Micron Research and FMI. Over the past 14 months, we have closed on four acquisitions that enhance both our industrial materials and Engineered Solutions business segments further in our strategic growth goals and improved their competitive of our business model. The integration is now complete with Seadrift and St. Marys. In 2011, they delivered $91 million of EBITDA, slightly more than a $90 million we guided to. In the fourth quarter after completion of the $2 million share buyback, we announced a new repurchase program for up to $10 million additional shares. Turing to our Q4 results, total company sales improved 24% to $348 million, EBITDA came in at $75 million, up 47% versus 2010. Net income was $45 million, or $0.31 per share. In our Industrial Materials segments, sales increased 26% to $297 million in the fourth quarter. Operating income for the segment was $49 million, up over 50% compared to the prior year. In our Engineered Solutions segment, sales were $51 million in the fourth quarter. Operating income was $4 million. The decrease in operating income was primarily due to a decline in the solar market. Turing to outlook, the IMF in its latest report dated January 24, 2012, projected world output to expand by approximately 3.25%. This projection presents the second time since June, 2011 they have reduced their numbers as the global recovery continues to move at a slower than previously expected pace. Furthermore, the IMF is now projecting a mild recession in Europe as a result of the continued European debt crisis. The January report highlights that downside risk have intensified globally over the past few months. Also noting the slow down in Europe, the European Steel Association issued a report on February 3, 2012, highlighting the European recession and expectations that recessionary conditions will continue through much of 2012. According to the World Steel Association total steel production declined approximately 5% from Q3 to Q4 last year with Europe accounting for much of the decline. Graftech also saw an impact on Q4 sales to steel producers in that region as a number of our customers reduce production levels, closed furnaces and executed sizable layoffs. It is important to note that typically 30% of Graftech’s annual sales are in Europe. Considering the above, we are expecting lower sales volume of graphite electrodes compared to last year in our Industrial Materials business. Our 2012, graphite electrodes book continues to lag behind prior years especially in Europe as customers continue to assess their 2012 requirements. In addition, some customers in Europe have carry over inventory of electrodes due to their low production rates in Q4. Turning to 2012 electrode pricing, we expect the average price of all our grades of electrodes we sell to be up 10% to 15%, which will help offset cost pressures. In our Engineered Solutions business, we have also felt the impact of the slowdown in the European region and in the solar sector. Globally the solar industry has continued to reduce production and is expected to be at level significantly below 2011. Recovery in solar is not expected until late 2012 or 2013. As a result of the above, we are targeting full year EBITDA to be in the range of $250 million to $290 million. We expect Q1, 2012 to be our weakest of the year with EBITDA targeted to be in the range of $35 million to $45 million. Our sales volumes are expected to increase over the course of the year and looking at Q4 exit EBITDA, we are targeting $85 million to $95 million for Q4. Going into the 2013 environment, assuming continued improvement in the operating environment, we would expect to be building upon this Q4 EBITDA base of $85 million to $95 million. For the full year 2011, we are expecting cash flow from ops to be in the range of $140 million to $170 million. On the capital front, we are expecting expenditures to be approximately $140 million to $160 million. The interest expense we expect $18 million to $22 million in the year. And then finally on the tax front, we are targeting an effective tax rate in the range of 23% to 25%, and a fully diluted share count of approximately 145 million shares. That concludes our formal remarks. Stephanie, let’s open it up for questions.
Operator: (Operator Instructions) Your first question comes from Luke Folta of Jefferies.
Craig S. Shular: Good morning, Luke.
Luke Folta – Jefferies & Company, Inc.: Good morning, Craig and Lindon, how are you?
Craig S. Shular: Great. How are you today?
Luke Folta – Jefferies & Company, Inc.: Good, good. And so, number of questions here. Firstly, can you give us some sense of how much of your order book is completed at this point for electrodes and you’ll go get a Seadrift?
Unidentified Company Representative: Yeah, I can on the electrode side. As I said, the electrode side has been lagging prior years, and we are probably in the range of about 50% booked. So it is still early in the game. And as I said in the guidance, things are still volatile and we have a relatively limited line of a site and so our guidance is based on what we see today in our book and two what we are hearing from our customers and expectations of the operating environment and especially in the EU zone, it has gotten very, very slow as we said.
Luke Folta – Jefferies & Company, Inc.: So you said the guidance is based on what’s in the book today. So would you characterize, how would you characterize your confidence that you get at least hit kind of the range that you are talking about. Do you I mean are you setting enough as this, this is what you can see today and then if things improve over the course of the year, there is potential upside and how do you think of that?
Unidentified Company Representative: We have good confidence in the guidance we’ve given. We think it’s very prudent. I think the drivers will be how does the operating environment proceed from here? Our view is the EU will be in a recessionary condition, so that’s going to be slow. Solar will be very slow compared to last year. And so any change in our guidance would be the operating environment improves significantly or the European region cascades and affect some other parts of the world, which I think is what IMF has been highlighting the intensified risk that if the EU gets worse than where it is sits today then it risk may be impacting some of the other regions further.
Luke Folta – Jefferies & Company, Inc.: Okay. And then as you think about pricing, the 10% to 15% assumption that you are using for the full-year, is that based on the pricing that you’ve been able to achieve to-date like so far for the first half? And my understanding is that in some regions there still isn't a full-year price established. That there is maybe some variation between what expectations are, for the second half relative to the first half, I guess, them what I'm asking to – is the 10% to 15% representative of today or are you assuming some different price in the second half.
Unidentified Company Representative: No, that’s what we see today. We feel pretty good 10% to 15% price increase across the entire portfolio. Obliviously the larger diameters what will be higher than that. But the average will be 10% to 15% and look that’s based on what we see in the book today and what we see in the marketplace. The marketplace price we see is in that range. It’s established.
Luke Folta – Jefferies & Company, Inc.: Okay. Okay, and then as far as needle coke is concerned, you didn’t talked about, what sort of increase are you seeing there? Can you give us a sense of what that different?
Unidentified Company Representative: Yeah, needle coke just to give you some color. We would expect prices in needle coke to be up 25%, 30% over last year, maybe even a little bit more. The needle coke book also is proceeding a little bit slower. There maybe other years because of all the economic events that we talked about.
Luke Folta – Jefferies & Company, Inc.: Okay. So in terms of your spread, or how you think about your margins are – are you happy with the pricing that you negotiated this year or do you think that just because of the recessionary scenario that you weren't able to achieve optimum margins? I know when you look at your margins in 2012, a lot of it’s going to be impacted by volume and that’s going to have a big impact on earnings. But as we think about that’s spread, are you back to where you need to be, or you think that, you think you still need to improve that going forward?
Unidentified Company Representative: We think there is a lot of upside. Now we are not happy with this year. I think that the economic environment we faced in Q4 and then coming into this year as weighed on the results. Volumes are going to be lower and so, when you look at – look back at historical margins or peak margins, we have achieved in the past. Now, we are not happy where they sit today. They’re being dragged down by lower volumes, especially in Q1 and the first half, and what we’d look to is try to get to that exit rate, EBITDA Q4 we’ve talked about, so not $90 million EBITDA exit rate type number, and then build upon that in 2013 assuming 2013 is continuous improvement in the global economies. So we’ve been disappointed. If you have look back in last year, the first six months were quite strong, each month was better, steel production ran up, but steel production kind of peaked around May, June, and then started to come down after that and then really fell down in Q4. So, no, we are not happy the way the profile went, we are building a book when a lot of our customers are loosing money, shutting down furnaces, laying-off and so it’s a tough environment right now from an operating stand point. So, no I don’t view this year as good by any means, I think the business model we’ve built is well positioned to seize every opportunity in this environment. The balance sheet is great, the liquidity is great. You saw us in the past when it was tough operating environments, we picked up four companies. So I think we’re able to play offense all through this, but the global economy still have a long way to go, to get back to a more normal level. And when they do get back there, then I think you see the full impact of the business model we put together back integrated to the needle coke et cetera. So we’ve got long ways to go look to get to what we consider a good place on operating margins and what not.
Luke Folta – Jefferies & Company, Inc.: Okay, just last question, I’ll get back in line. On Seadrift, you talked about local prices being up 25% to 30% maybe even more in some cases. How we think about the contribution for Seadrift in 2012 versus 2011? I imagine it probably takes some time for the profitability to work through the system there with the way it’s accounted for our internal sales. And also I just wanted to get a sense, are you fully hedged up for the year or – because oil prices continue to go up, could we see a situation where you’re increasing needle coke prices further or how should we think about that?
Craig S. Shular: Yeah. What goes on further in needle coke price, it’s probably too early to really make a call on that, obviously, cost pressures are going up. I mean, we see breadth of 125 plus here. So if cost pressures are there, time will tell where that goes, we got 25%, 30% price increase so far and in some cases even more. So we’re very pleased the way Seadrift has gone. Seadrift as you saw, together with St. Marys last year, contributed over $90 million in EBITDA, so that this acquisition has gone very well for us. We’re delighted and the two teams are great teams we’ve added, so they deliver. Seadrift as you know ran it 90% plus all last year, and I would think this year, it’s still going to run at a good operating rate, and so time will tell. If the market continues to have a 125 plus oil then, yeah, there is going to be cost pressures and then perhaps, you got to look at the selling price. Time will tell.
Luke Folta – Jefferies & Company, Inc.: Okay. Thanks for all the color. Great, I’ll get back in line.
Craig S. Shular: Thank you, sir.
Operator: Your next question comes from the line of Ian Zaffino of Oppenheimer.
Ian A. Zaffino – Oppenheimer & Co. Inc.: Great. Thank you.
Craig S. Shular: Good morning, Ian. How are you today?
Ian A. Zaffino – Oppenheimer & Co. Inc.: Good, good. I’m okay, hanging in there. As far as, I’d like to build on the first question about the guidance, you said it’s based on 50% so that assumes you get no incremental volume beyond what you’ve booked, I mean is that…
Craig S. Shular: No, no, Ian, not at all. It’s based on the 50% we have in the book so far and looking forward talking with our customers, those customers that have not booked yet and what we would expect to get up their business. So there is still booking to go that’s in our guidance.
Ian A. Zaffino – Oppenheimer & Co. Inc.: So what type of utilization would that bring up to for the year per se?
Craig S. Shular: Well, last year as you know, we kind of came up throughout the course of the year and it kind of paralleled kind of steel production rates. They started out low to begin the year, came up kind of peak mid year. Our book was built last year with the second half volumes larger than the first half. So last year, I think we’ve – the average run of the GE business was about 82% operating rate and Q4 was around 90% as we expected. Q1, I would expect, we are going to be down probably 75% up level, 70%, 75% because of all the things we talked about the destocking in Europe and what not. And then as the year goes on and the book and the customers and the operating environment, we’ll adjust that accordingly. Its part of our flexible cost structure, so unfortunately we’ve had to do a number of layoffs around the world in both of our businesses to adjust the cost structure and Q1 op level was probably 70%, 75% in GE.
Ian A. Zaffino – Oppenheimer & Co. Inc.: Okay. And then on the inventory front, both on the year end and your customer, on year end how much inventory do you have made with cheaper needle coke. And then also how much you see your customers are per se over stocked that they need to burn off?
Unidentified Company Representative: Well, let’s start with the customer. On the customer front, I think a lot of the European customers because Q4 was slow have had inventory. And they will be going through some destocking. I think that’s why a lot of them really aren’t in a real rush to book their 2012 requirements. I think the second part they are just trying to get line a site to 2012. They don’t have a lot of visibility in the EU region, they have been laying off, they’ve been closing furnishes. I mean if you see them, they’ve been announcing 1,500 layoffs at a [pop]. So there is inventory in Europe for sure around the world there maybe a little bit some other packets depending on certain things China, slowed down quite a bit. Coming into January, I mean, the January numbers are just out for total steel and you see it was down 8% year-over-year, with some – number of the countries down double-digit year-over-year. So there is going to be some excess inventory in the trade, that’s going to workout, that destocking that we’re expecting is baked into our Q1 guidance and our full guidance. As far as ourselves, yeah, because of some of that we got a little bit extra inventory. But to your point, hey, does that give us a cost advantage or is that something like that, all of that is factored into our annual guidance so.
Ian A. Zaffino – Oppenheimer & Co. Inc.: Okay. All right, perfect. Thank you very much.
Unidentified Company Representative: Thank you, sir. Have a good day.
Operator: Your next question comes from the line of Tim Hayes Davenport & Company.
Timothy Hayes – Davenport & Company: Hi, good morning.
Unidentified Company Representative: Good morning, Tim. How are you today?
Timothy Hayes – Davenport & Company: I'm fine. How are you?
Unidentified Company Representative: Excellent, thank you, sir.
Timothy Hayes – Davenport & Company: On your needle coke side of business, so certainly, the decant oil costs, can you give us some guidance on what, how much your cost of decant oil will be up in ‘12 versus ’11.
Unidentified Company Representative: It’s not a point of guidance. We have some regular supplier that we’ve contracted with. And so, the way I would look at is, we have a good track record of hedging our decant exposure. Last year, as it was quite volatile and I don’t think you heard us talking much at all about getting squeezed because we have a very good professional proactive hedging program. This year, I would expect the same kind of approach. We like to hedge, when we know the exposure, we have the orders we like to hedge and take that noise out of it. So we are not expecting a lot of volatility on that side. Our track record says we won’t have that, having said that I see this year, across all our businesses as more volatile than last year. Last year do you remember EU was not in a recession, we had the wind at our back in solar, which is an important sector for Engineered Solutions. This year, I view the operating environment much more tougher than last year. First half of last year, the wind was at everybody’s back, everything was picking up from nice levels, steel operating rates coming up nicely. This year, we kind of – Q4 has been down, January has been very, very slow at our customers evidenced by the steel numbers that have just come out. And so, I see Europe very volatile. And when we sit with our customers in Europe, they don’t have line of sight. And so, they’re taking their time in the booking. So having answer to your question, yeah, I don’t expect any volatility there, we have a good hedging program, but I think overall, I would expect more volatility in our business this year.
Timothy Hayes – Davenport & Company: All right. Okay, so if you have the hedges in place on decant oil, you should have a good idea of how much that would be increasing, I’m guessing the increasing from what you locked in 2011, is that correct?
Craig S. Shular: Yeah, Tim, that’s fair enough. It’s just not a point of guidance that we give. Obviously, I want to keep much of that as I can for ourselves and then sell at a fair market price. So, it’s just not a point of guidance that we give or our competitors in needle coke, they don’t provide that either.
Timothy Hayes – Davenport & Company: Okay.
Craig S. Shular: We all have our own technology, efficiencies, and we – and yields and we just don’t – we don’t provide that.
Timothy Hayes – Davenport & Company: And then if I could then just to – when you did put on the hedges for needle, for excuse me for decant oil or what, did you put them on later for – in 2011 than you did in 2010 just because the needle coke contracts were got off to about three months delayed?
Craig S. Shular: Yeah, they got off to a later start, so that, yeah, that’s fair enough. They would have – the booking and the dialogues with the customers would have been behind last year’s schedule and they would have gotten put on later.
Timothy Hayes – Davenport & Company: And lastly, did you get any small benefit from natural gas prices coming down.
Unidentified Company Representative: Yes. That’s a positive for us. Most of our other raw materials are going up, but we’ve been enjoying the relatively low rates for natural gas here for a while. So natural gas has been a benefit across to our portfolio and that’s been a plus for us.
Timothy Hayes – Davenport & Company: Would that just be a few pennies in Q4?
Unidentified Company Representative: I can’t quantify that for you, but gas is we’ve been under our budgeted rate almost every quarter. So it’s come out very, very nice for us. So I would just look at natural gas has not been an issue and we usually have been ahead of every number we’ve planned its coming lower.
Timothy Hayes – Davenport & Company: Okay. Thank you.
Unidentified Company Representative: Thanks, Jim. Have a good day.
Operator: Your next question comes from the line of Philip Gibbs of KeyBanc Capital Markets.
Philip Gibbs – KeyBanc Capital Market: Hi, (inaudible) good morning.
Unidentified Company Representative: Good morning, Phil. How are you today?
Philip Gibbs – KeyBanc Capital Market: Doing okay. First question is what are your expectations for global steel production growth and/or decline outside of Europe and what is your view of steel production growth and/or declines in Europe for 2012?
Unidentified Company Representative: Well Europe is a wildcard. I think Europe could definitely be down, the customers we have talk to when you had talk to him what’s their expectations you go through Italy, Spain, France, Germany. Germany’s numbers for January were down at 8.5% year-over-year. So Europe we see a lower production rates. The U.S. where a lot of you sit it is probably one of the brighter spots around the globe. But I think I would view the U.S. cautionarily I see the recovery here very fragile it’s started to come underway, but I think Europe, there is a big possibility Europe affection, you see in steel a lot of our customers have reported they don’t have good line of sight to this year. You follow steel prices, scrap prices they’ve been going down, they’ve been going on the other way. And so U.S. we would expect to be up this year, but I think it’s very fragile and I think the risk that Europe spills over and affect some of this U.S. costs the U.S. environment is a very possible. So we have a very cautious look economically on 2012. China, almost every data in China is showing a slow down as the government tries to reign in the property market and if you look at PMI, almost every index there. Inventories at the ports of iron ore are at tremendous levels. So we are not expecting a lot of growth in 2012. Could it be a couple percent? It could, but it – we think it’s going to be a very volatile couple percent. We see big picture over the course of the year, our volumes increasing. Q1 first half lower, take care of the destocking in Europe and some of the other places and then Q3 and Q4 much higher and then an exit rate in Q4 assuming their the economies continue to pickup over the course of the year that $85 million, $95 million type EBITDA in Q4.
Philip Gibbs – KeyBanc Capital Market: Hey, Craig it’s assuming that the supply chain was in balance right now on the electrode side, and there were no destocking pressures and you are operating in line with your customers, where do you think your operating rights would be?
Craig S. Shular: Well, I think let’s go down a depth. What if instead of kind of middle of last year Q3 kind of rolling over for steel production, and then Q4 going a bit lower. Let’s say we would have continued on that that nice trend that was the first half. I think we’d be looking much more like $90 million or $100 million EBITDA across each of our quarters, for four quarters this year. Unfortunately that’s not the operating environment. And I think the strength of our business model will be much more apparent in that environment. We’d still be running to your question that the high op levels than electrodes 90% plus; Seadrift’s (inaudible) runs at a very high op level last year and probably will be at a good operating level this year. So I would have said maybe we had a $100 million in each quarter of EBITDA if that was the operating environment. I think it was well positioned that way. If you go back and look at the trajectory on Q1, Q2, and operating rates [borrows] electrode demand, even some of our competitors also had said they are in the high 80s and so if that trend line would have continued, I think we have those kind of numbers. And then hopefully we can see that kind of environment starts to improve in 2013.
Philip Gibbs – KeyBanc Capital Market:
Craig S. Shular: Cost wise I think both have pressures, oil at $125 has increased the pressure more or so on needle coke. We are actively hedged there. And then as we go forward, let’s say looking at Q4 shipments, if they are still in this price environment then obviously one might look at – at the pricing, right because whether it’s still in this cost environment, then one would have the alternative to consider the pricing environment. So its way early to think about that, but those are our levers. We are very active here, we try to take all that risk out, we have a good track record on that front and it’s – there are still cost to be offset and we would look at the marketplace, the marketplace is such that we can pass those on in Q4 or end of the year.
Philip Gibbs – KeyBanc Capital Market: So you feel good about where, you feel good about where you hedge that and…
Unidentified Company Representative: Yeah.
Philip Gibbs – KeyBanc Capital Market: At Seadrift it’s just a matter of the price, the price increases on the electrode side more than enough to overcome the other cost pressures outside of energy. And I think you’ve said its somewhat offsetting but not more than offsetting, is that the way you could read it.
Unidentified Company Representative: I think that’s a pretty good recap.
Philip Gibbs – KeyBanc Capital Market: Okay.
Unidentified Company Representative: That’s a pretty recap.
Philip Gibbs – KeyBanc Capital Market: Thanks, Craig. I appreciate it.
Unidentified Company Representative: Thanks. Have a good day.
Operator: Your next question comes from the line of Charles Bradford of Bradford Research.
Charles Bradford – Bradford Research, Inc.: Good morning. When I look at the production, steel production data in Europe, the three biggest EAF producing countries actually all reported up January. The bad one obviously was Germany but that’s not as big as Turkey, Italy or Russia. What are you seeing there maybe different then what the statistics are reporting?
Unidentified Company Representative: Well, yeah, those ones you’ve picked out, okay, have been up, but we are looking at the totality of it. So January numbers in total – were down 8% and then you got…
Charles Bradford – Bradford Research, Inc.: Yeah.
Craig S. Shular: And then you got, I think Japan was down double-digit, remember, we’re in all of these markets. Spain was down huge, Italy was down huge, right and…
Charles Bradford – Bradford Research, Inc.: Italy was actually up, what’s surprising, but it was as far as steel production.
Craig S. Shular: Perhaps, but – all the numbers I saw, when you do most of the countries there, they were not attractive.
Charles Bradford – Bradford Research, Inc.: All right. Are they separating the three biggest EAF producers, which were Italy, Turkey, and Russia, all which were up, even though the total was clearly influenced by Germany, which pretty gruesome.
Craig S. Shular:
Charles Bradford – Bradford Research, Inc.: What are you seeing in places like Brazil and Mexico?
Craig S. Shular: Well, Brazil has had a good run in preparation of the World Cup and the Olympics there. And what we see there is a lot of that construction has been put in the ground, the stadiums, rail roads, subways, apartments et cetera. So we see that tapering off now…
Charles Bradford – Bradford Research, Inc.: Okay.
Craig S. Shular: As we get close to the events. So their big run off they’ve had and so I would also see them a little bit vulnerable to a less growth than what they’ve had in the massive construction they’ve done in Brazil over the last couple of years.
Charles Bradford – Bradford Research, Inc.: Thank you very much.
Craig S. Shular:
.:
Operator: Your next question comes from the line of Dan Whalen of Auriga USA
Daniel Whalen – Auriga USA: Hello everyone.
Craig S. Shular: Hey, Dan, how are you doing?
Daniel Whalen – Auriga USA: Good, good. Just a little, I appreciate the color on the fourth quarter expectations for EBITDA. Does that get us back to the 90% utilization rate area or how should we be thinking about that?
Craig S. Shular: Yeah, we’ve ran Q4 electrodes as planned and as I think we discussed in prior conference calls at 90% plus.
Daniel Whalen – Auriga USA: Yeah.
Craig S. Shular: Our customers, we ended up with extra inventory as we talked before with a couple questions.
Daniel Whalen – Auriga USA: Yeah.
Craig S. Shular: So…
Daniel Whalen – Auriga USA: But I think you made reference to the 4Q12?
Craig S. Shular: Yes.
Daniel Whalen – Auriga USA: Color of $85 million to $95 million EBITDA.
Craig S. Shular: Absolutely, what will that run rate be?
Daniel Whalen – Auriga USA: Yeah, so will that get us back to 90% utilization?
Craig S. Shular: No, I think we still got room there. We have a lot of upside to the gentlemen’s question. They asked [G] are you kind of happy with this year or you approaching peak? No, we won’t be 90% at that, we’re going to have lower volumes this year. So we have a lot of upside.
Daniel Whalen – Auriga USA: Okay.
Craig S. Shular: We got a lot of room to grow in ’13, ’14, as these economies get back on track to some decent growth and stability.
Daniel Whalen – Auriga USA: All right. So, $85 million to $95 million in EBITDA would probably be closer to 85% utilization or 80% utilizations ballpark-ish?
Craig S. Shular: It’s too early to tell, but it’s definitely a lower rate than the 90% we did this last quarter. There is a lot of upside is my point.
Daniel Whalen – Auriga USA: Okay.
Craig S. Shular: We’re going to be Q1, 70%, 75%. We’ll see how the book comes through and the timing of the orders and then it’ll adjust the ultimate operating rate around that. But when I look at what we’re envisioning there in the quarter and the EBITDA, it’s well below 90%, it’s much lower. There is a lot of upside.
Daniel Whalen – Auriga USA: Okay, okay. And then you made reference too in the past of being acquisitive during the periods of softness. Can you just talk a little bit about, I guess one, how you’re viewing potential bolt-on acquisitions versus buying your own shares back? And then secondarily, if you could share with us order of magnitude, what the average purchase price of your shares bought back in the fourth quarter were?
Unidentified Company Representative : Absolutely. Obviously, if we find a good growth opportunity fairly priced that we think really improves the business model like St. Mary’s, like Seadrift for instance in our high end business. That’s going to have the priority. So we find fairly priced. You will see us seize that. You see that’s why we have such a drive to have a very good balance sheet and great liquidity and an investment grade rated revolver. So that will be our first choice. You saw us, when we had the original 3 million authorized shares, you saw us do a 1 million. Then you saw us not do any for a while and obviously, we did four acquisitions in that space. And then, once we got the acquisitions done. You saw us finish up the last 2 million of that and put a new program in for 10 million. So Dan, I think your takeaway should be. We like to buyback our shares, if we think the price is right and it’s the best alternative for our shareholders i.e., we don’t have another pending acquisition or we’re not working on one that could require our facilities and our lines and our liquidity. Then – and we like the price of the shares. Yeah, you will see us buying back our shares and time will tell obviously, we can’t telegraph anything here.
Daniel Whalen – Auriga USA: Sure.
Unidentified Company Representative : But I think your takeaway should be, yeah, we like buying back our shares. When we see a price that we think it’s a good price and the economies are still struggling and we think we’re undervalued, you will see us buyback, it’s why we put in a 10 million share program, a big one. And it’s why we have $300 million plus of new liquidity here at Graftech. Lastly on the 2 million that that final piece we did, the 2 million shares, the average was about $14.60.
Daniel Whalen – Auriga USA: Okay. Great.
Unidentified Company Representative : We were very happy to buy them at that price.
Daniel Whalen – Auriga USA: Very helpful. Thank you. And then just lastly just to help me frame it a little bit here, your comments early on solar, how big of a piece the revenue pie is that is in actuality here, is that – I know it’s a very soft and market right now, but how big is it in terms of revenue or whatever frame?
Unidentified Company Representative : Dan, if you at ES so that ES sector, it’s one of the drivers, it’s been double-digit growth now for a couple, two, three years, and so if you at ES, it’s a good 25% plus of ES.
Daniel Whalen – Auriga USA: 25.5%.
Unidentified Company Representative : And it is a good 25%, wind has been at our back, good growth, we’ve got a great product line, great technology there. So it’s a technology sale for us, and it’s one of our new products, that’s what our R&D team has developed those kinds of products, the smartphone products this is what’s been coming out of our R&D machine here. And it’s great business, it’s been nice margin business it’s technology sometimes it is IP projected or it is process no harm. So that sector I’m really don’t see that coming back much still, really early 2013. So much of the solar industry right now, if you’re close to it.
Daniel Whalen – Auriga USA: Yeah.
Unidentified Company Representative : I mean it’s our case it has run us slow, they shut down.
Daniel Whalen – Auriga USA: Yeah, exactly. Okay, I appreciate the color.
Unidentified Company Representative : Thank you sir. Have a good day
Daniel Whalen – Auriga USA: You too.
Operator: Your next question is a followup question from the line of Luke Folta.
Luke Folta – Jefferies & Company, Inc. : Hey guys.
Unidentified Company Representative: Hey, Luke.
Luke Folta – Jefferies & Company, Inc. : Hi. So when we think about your volumes in the first quarter of next year, you said utilization 70% to 75%, is that about the same rate you expected to be shipping at?
Unidentified Company Representative : I would say that’s too early to tell really.
Luke Folta – Jefferies & Company, Inc. : (inaudible).
Craig S. Shular: It is closer to that, yes, it is in the – it is similar to that, but Q1 is going to be slow as we’ve said, $35 million, $45 million EBITDA is really low. So shipment rates going to be low. So if we’re – let say we’re producing at 70%, 75% remember some of that’s going to go out in Q2. And then also remember Q4, we ran at 90% right. So, Q1 shipments are going to be soft, EU destocking has got to take place. Some other places it's got to take place. And we feel good about the 35% to 45%. I mean, I think we feel very good about that number.
Luke Folta – Jefferies & Company, Inc.: Okay, I guess, I’ll just try to get it. I mean that seem like a low number, if you are going to be shipping at 70% to 75%.
Craig S. Shular: Yeah, we agree. It’s going to be a lower rate. It is very soft out there and I'm sure you've seen some of the commentary from some of the steel guys, it slow.
Luke Folta – Jefferies & Company, Inc.: Okay. And then just on the cost side, SG&A looks like it’s going to step-up. Is there mostly pension expense, how do we think about that increase and also D&A is going to step-up to $50 million or so year-over-year, what’s driving that?
Craig S. Shular: Let me toss it over to – to Lindon, there is a, I mean, a couple clear buckets on the overhead debt we’re investing in.
Lindon G. Robertson: In the overhead, we will continue to expand some things that we are expanding in the past like ES. We still have some investment there and we have some build out of some other capabilities including R&D and lean initiatives and some of the IT capabilities that we started to support our broader business equation. And then there is a piece, there is a piece of incentives as well coming back and, we didn’t payout much incentive this last year. So we are establishing that. So, all of those combined is really the driver. Now, when you look at the overhead, overall you recognize that this mark-to-market had some impact. We clarified that in the release in 2011. So we don’t anticipate that of course, we will correct for that next year, when we use in our accounting treatment, so but we don’t have anything anticipated in our numbers for that.
Luke Folta – Jefferies & Company, Inc.: Okay. And it for DNA, is just a question of the increased investment you are talking about?
Unidentified Company Representative: So we will continue to have we don’t guide on the depreciation and amortization, but one comment I'll just give you on the relative to PPA impacts we would generally have constant run of about $6 million which we shared you in the past and overall we have been [in about] $95 million of depreciation we'll continue to see above that.
Luke Folta – Jefferies & Company, Inc.: Okay. And then just last one, regarding the imports environment, when you think about the volume shortfall that you've seen in the first half this year do you attribute any of that to market share loss to imports or is it just pretty much of the destocking issue that’s a – like a one Q quarter phenomenon and that kind of goes away in the second half.
Craig S. Shular: Definitely destocking Luke and then obviously we have been bringing the price up so a part of that is going to be given up some share for sure as we execute price increases.
Luke Folta – Jefferies & Company, Inc.: Okay
Craig S. Shular: And I would say that’s our first half phenomenon Q1 and then you know the price settles in and then we get back to solid volumes
Luke Folta – Jefferies & Company, Inc.: Okay do you have any sense of how big of an impact there might be in the first half?
Unidentified Company Representative: Well, I've got that guidance for Q1 $35 million to $45 million, again, to me I think one of the takeaway you should have is Graftech and the model we have we can make money, small $35 million, $45 million in EBITDA at this low operating rates. It's what we try to put together back integrated to the raw material flexible cost structure move the cost according to the operating rates and then needs of our customers. So here we are very low quarter, destocking going on in Europe, executing price increases across our businesses, and still making money in that quarter. And then, I guess, looking at Q4, we would expect to be in that $85 million, $95 million EBITDA, you see more of the business models impact out there, volumes are up, we believe across all our businesses. Then needle coke flows through, remember, some of that needle coke goes into our own machine and so there’s a delay in some of that with recognition of the profit and price increase that flows through. So $85 million to $95 million is the other takeaway, I would give you in kind of a Q4 run rate and hopefully if 13 continues to improve, that’s the way we would like to start off 2013.
Luke Folta – Jefferies & Company, Inc.: Fantastic, guys. Thank you very much.
Craig S. Shular: Thank you, sir.
Operator: Your next question is a follow-up from the line of Philip Gibbs.
Craig S. Shular: How you doing, Phil?
Philip Gibbs – KeyBanc Capital Market: Hey, gentlemen. Just a couple real quick ones here and I apologize if I missed this.
Craig S. Shular: No trouble.
Philip Gibbs – KeyBanc Capital Market: How should we think about the first quarter electrode pricing flow through, do we have a little bit of carryover from the fourth quarter impacting that?
Craig S. Shular: There is – maybe a little bit, not much. We didn’t have a lot of carryover, we really wanted our customers to try and take their orders as committed. We had some cancellations in Q4, surprisingly, this happens sometimes, the customers’ balance sheet is such, he wants to cancel, right, he needs to cancel and in a couple case, we’re worried about our market and our money. So Q1, yeah, there is a little bit not material carryover, most of it’s going to be just low volume, new orders.
Philip Gibbs – KeyBanc Capital Market: And the pickup in the inventory at the end of the year was that mostly just the finished product that you had with operating at the lower rates in the phase of some of these cancellation?
Craig S. Shular: Exactly that was the majority of it. We also – in electrodes, we also had some extra in needle coke. And, yeah, just to share some color with, we could have sold another 10,000-plus tons of needle coke in Q4. But the customer base was demanding the old price, and that just didn’t work for us.
Philip Gibbs – KeyBanc Capital Market: Okay.
Unidentified Company Representative: And so, we wait that – we didn’t take that. And so, we ended up carrying some extra needle coke also across to year-end. And so, and ultimately 25%, 30% plus increase was achieved.
Philip Gibbs – KeyBanc Capital Market: Okay, and then lastly I really appreciate this. And then lastly in your needle coke business, strategically, do you have the ability to adjust your prices as we move through the year or have you mostly tried to lock-in [past] six to 12 month pricing or is pricing more fluid based on your (inaudible)?
Unidentified Company Representative: Time will tell there, we have a lot of customers there that come in and don’t necessarily book their annual requirements. It can be quarter-by-quarter, et cetera. So my point is, hey, costs are coming up in needle coke, we are always assessing what’s it mean to our cost structure, how much is hedged out, and we’re also assessing the price based on the input costs. So needle coke, because a good portion of that business tends to be quarter-by-quarter or six months, there are more opportunities to reprice.
Philip Gibbs – KeyBanc Capital Market: Okay, perfect. Thanks a lot.
Unidentified Company Representative: Thank you, sir.
Operator: Your next question comes from the line of [Kevin Back of Paradigm].
Unidentified Analyst: Hi, good morning.
Unidentified Company Representative: Hey, Kevin, how are you today.
Unidentified Analyst: Good, good, how are you?
Unidentified Company Representative: Excellent. Thank you.
Unidentified Analyst: Just two quick questions here. I wondered if you can talk about the CapEx a little bit, $155 or so million in 2011 and then another $140 or so this year, that’s quite a bit of CapEx on the business relative to where we’ve been in the last five, six, seven years? So, can you talk about what you’re spending that on and?
Unidentified Company Representative :
Unidentified Analyst : And despite lower volumes this year, why you’re keeping this as high as it is?
Unidentified Company Representative : Yeah, absolutely. Recall of our four acquisitions, all of their CapEx come in the last 14 months, right since they’ve been done. And the first two of them, Seadrift, very large facility that we’re doing a number of things there are on quality, improving the quality, Seadrift already has very, very good quality, but I think we have an opportunity with our technology made up with Seadrift to take that quality and performance of needle coke to whole another level, so some of that capital is for Seadrift. Remember, we picked up St. Marys electrode plants, so that’s – instead of five plants, we have six plants so that’s additive. And then over on ES, there’s some, some of the businesses over an ES not other than solar are continuing to grow nicely. The smartphone sector, good, good growth; oil and gas drilling that’s still proceeding quite well in this high oil environment. So there is investments to allow us to continue to grow those businesses.
Unidentified Analyst : So is there some more normalized level going forward?
Unidentified Company Representative : Yeah, I’d say this is a more normalized, $140, $160 the type of guidance that we’ve given that’s more or like this platform plus or minus.
Unidentified Analyst : Okay. And so when you look at ES specifically and you look at the growth that you expect there in revenues, we still haven’t seen a recovery in the profits in that business. So if you look at that business’ revenues in this past year relative to say ’08, the profitability is half as much stripping out the pension. So we're growing revenues here, but we’re growing profits. So can you talk and it’s requiring more and more capital. So can you talk about how you get the profitability back on track in that area?
Craig S. Shular: Yeah, I think a very good point. That business has some mature parts to which its product line and we’ve not been putting money into that capability, the money has been going into smartphones, diamond drill bit business, solar et cetera. And so I would expect over the course of 2013, when solar comes back, you will start to see more of the capability of ES profitability. I think this year profits will be up in ES, but remember it probably has virtually no solar, very low solar business especially in the first half, first three quarters.
Unidentified Analyst: So in solar like you said it’s 25% of the revenues.
Craig S. Shular: Right.
Unidentified Analyst: But is it sort of twice the profitability of something?
Craig S. Shular: Well, not to give specific guidance on profitability, but it’s one of our very good ones. Yeah, it’s good, good, good business double-digits growth and good profitably.
Unidentified Analyst: Great, so despite solar being down this year you still expect ES’s profit contribution to grow this year from ’11?
Craig S. Shular: Yes.
Unidentified Analyst: Okay.
Craig S. Shular: Yes with the other product lines that are growing.
Unidentified Analyst: Okay. It sounds good. Thank you
Craig S. Shular: Thank you, sir. Thanks Kevin, have a good day.
Unidentified Analyst: You too.
Operator: At this time there are no further questions. I would now like to turn the call back over to the presenters for any closing remarks.
Craig S. Shular: Thank you Stephanie and again thank you for your interest in our company and your questions, and look forward to working with you throughout this quarter. Take care. Have a good day.
Operator: This concludes today's conference call. You may now disconnect.